Operator: Good morning. My name is Jacky, and I will be your conference operator today. Thank you for joining us for this conference call for OFG Bancorp. Our speakers are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman; and Ganesh Kumar, Executive Vice President and Chief Financial Officer. There is a presentation that accompanies today's remarks. It can be found on the Investor Relations website under the Webcast, Presentations & Other Files page. Please note this call may feature certain forward-looking statements about management’s goals, plans, and expectations, which are subject to various risks and uncertainties, outlined in the Risk Factor sections of OFG Securities and Exchange Commission filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments, which occur afterwards. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and-answer session. During the question-and-answer session, we ask questioners to not use cell phones as they might cause loud static on the line. I would now like to turn the call over to Mr. Fernández.
José Rafael Fernández: Thank you good morning to all. I will cover a general overview and then Ganesh will discuss the key aspects of our financial results. First let me review some highlights for the quarter and for the year. OFG continue to perform well, we earn $0.35 in the fourth quarter and $1.73 for the year in diluted earnings per share. This surpasses our guidance of $1.55 per share as we had indicated in our last call. These results prompted our Board of Directors to raise the quarterly dividend by 33% to $0.08 per share. As the final highlight for the quarter, we also reduced our Puerto Rico government related to exposure by 17% from the last quarter, as a result of repayments from contractual maturities. In 2013, we also had a number of significant financial achievements. First our net interest income was up 160%, interest income from loans alone accounted for 90% of the total, up from 63% last year and 23% from five years ago. We achieved 5%+ in net interest margin even excluding the non-recurring benefits. Banking and wealth management revenues grew 75% year-over-year. 2013 also marched the completion of our transformation of OFG's balance-sheet and income profile in-line with what we had stated or along. Furthermore, we ended the year with a book value of $15.74 per common share, already earning back the dilution from the capital raised for the BBVA Puerto Rico possession a year ago. Looking forward, we entered 2014 in a very strong position to further realize the synergies from our expanded size. We have approximately $900 million in capital and more than $700 million in cash and cash equivalent. We're also in a good position regarding the credit quality, more than 50% of our loans have loss share and/or credit marks. Despite the challenging economic situation in Puerto Rico, we expect to continue our strong performance into 2014. All in all, I'm very proud of what OFG had accomplished during this year. My thanks to each and everyone in our excellent team who had worked above and beyond their normal responsibilities to achieve this success. Now I will turn the call over to Ganesh.
Ganesh Kumar: Thank you, José for your comments. I am picking up on slide six. But before I go into financial results I would like to take this opportunity to further expand on our accomplishments during this year. Execution wise 2013 was a very successful year for OFG. We continued to demonstrate our integration capabilities by successfully integrating the second acquisition in four years. Off note, each of this acquisition was of the same size or bigger than what we previously were in terms of our core operations. BBVA PR had a loan portfolio that was 2.3 times larger with 130,000 loan and 170,000 deposit accounts. We executed the integration plan within the aggressive timetable we set for ourselves. It is important to highlight, while we were busy in integration efforts during the year we also managed to originate $1.5 billion in new loans retain the non-maturity deposits and grow them 4.9% as opposed to any run-offs, strategically reduce the high cost time deposits which was instrumental and bringing our cost of funds down to average of 96 basis points that represents a 30 basis point reduction year-over-year. We also retained the key talent and reduced our total non-performing loan exposure through a sale in the third quarter. More importantly we stepped up our investor outreach with around 235 calls or meetings throughout the year. However, the year has not been with our challenges. We are cautious about macroeconomic climate here in Puerto Rico. We are also following the fiscal developments closely and market reactions. The local wealth management industry has been affected by realized and unrealized losses in Puerto Rico bonds and bond funds. But overall our investors were relatively diversified and more importantly had much less coverage. We are watching for further opportunities for us to grow over here. Puerto Rico’s fiscal reforms have also resulted in higher tax burden for OFG, which we are not factored in at the beginning of the year. Secondary market conditions and new regulations have also taken a still on our originate to sell mortgage business. Regardless of these challenges we ended 2013 an important year for OFG on a high note. Our return on assets was 1.16% up 79 basis points from prior year. Return on tangible common equity was 14.3% up nearly 12 points from 2012. We were also efficient despite the integration efforts with efficiency ratio around 53.5%, a reduction of more than 10 points from last year. The net interest margin was a healthy 5.46% as opposed to 2.46% from last year. Removing certain adjustments and higher cash flows, our normalized net interest margins still would have been north of 5% for the year. As you can see on the slide eight, our capital ratios continued to grow are expected to strengthen further well over the regulatory requirements for a well capitalized institution. On slide nine. Rather than going over the income statement line items individually, let me discuss a few items that include some non-recurring affects for the quarter. Most of these affects were primarily due to annual reforecast and recasting of the expected cash flow model for the acquired portfolio. First, as you might have noticed, there is a big jump in quarter’s net income, the effects include additional $4.6 million more in cash inflows from some acquired loan pools over and above our initial estimations; $2.9 million partly due to reclassification of fees related to acquired portfolio from banking services revenue; $2 million due to re-yielding of loan pools that showed higher cash inflows. In the covered portfolios similarly, we had a recovery of $3 million over the previous assumptions, these were partially offset by $2.3 million in lower cash close in certain other pools in our acquired portfolio. The provision for originated portfolio was around $6.9 million similar to the prior quarter. Expenses including a merger and restructuring charges of $4.4 million for the activities already planned in 2014. With this charge, we do not expect any further significant expenses in this category. FDIC loss share expenses also included $2.4 million which is 80% of the additional income from the covered portfolio mentioned above. Moving on to slide 10. Regarding our exposure to Puerto Rico central government, the outstanding credit reduced $157.2 million from repayments of a bond anticipation note of $142.9 million and the rest from an agency as expected. All-in-all the Puerto Rico central government and public corporations related credit excluding municipalities stood at $631.6 million or 17.4% less from prior quarter due to scheduled maturities. As you can see from the table of the remaining credit, there is a high proportion of short-term paper, identifiable sources of repayment and dealing collateral in certain cases. OFG intends to use the favorable maturity schedule to strategically manage our exposure in this sector. As a related note, government deposit also reduced roughly $157 million from the third quarter. Regarding the asset quality, when you read the asset quality metrics in our earnings supplement, please remember these or related to originated loans that exclude acquired loans. Quarter-over-quarter, the non-performing loans increased $6.6 million to $86.2 million while the allowances increased to $1.5 million to $49.1 million. The allowance as a percentage of total loans held for investments stayed flat roughly at 2%. Year-over-year, we have significantly lowered our non-performance loan ratio to 3.6, a decrease of over 8 points. Regarding mortgage delinquencies total and early, the increase is primarily due to 360 method of accounting for the inflows. As you can see, the quarters ending on 31st has exhibited higher numbers. If you compare year-over-year the reduction is due to $60 million of the NPL sales during the year. With regard to the other delinquency however, there are two extraneous factors in place. One is a portfolio originated post acquisition is seasoning to the normalized levels and two we had implemented a new technology for collections during the month December that has created some noise. We continue to monitor closely both these portfolios for any evolving trends. In 2014, our focus will be on achieving consistent core operating performance. We strive to move towards our decided targets of return on assets of 1.25% return on tangible common equity of 12% and efficiency ratios in low 50s. With this, I would like to turn it over to José for his closing commentary.
José Rafael Fernández: Thank you, Ganesh. Now turning to slide 12, let me describe our thinking regarding 2014. Looking forward I believe that core operating results will be very close to the run rate of fourth quarter results we just discussed. The key areas of our focus will be on the following. One, we will continue to optimize the cost of deposits. Two, we will work to realize further integration related synergies. And three, we will take advantage of the agility and our differentiation through customer service to organically grow further. With no legacy issues laying us down, we have a high degree of capital strength and flexibility that we can employ. I would like to reaffirm that our goal is to remain a well managed top performing institution that compares well with our peers in this market cap range. And we will strive to achieve the financial targets mentioned earlier by Ganesh. In conclusion, the challenges that Puerto Rico faces are not new to us. We have been operating in mostly recessionary conditions since 2006 in a very disciplined manner, differentiating ourselves with impressive growth in book value and providing ourselves as capable buyers. With that in mind, our strategy will be to continue what has worked so well for us, remain conservative; be mindful of the conditions we operate in; and continue to optimize return to our shareholders. This ends our formal presentation. We have also here with us Norberto González, our Chief Risk Officer. All three of us are available for the question-and-answer session. Operator, let us open the call for questions.
Operator: Thank you. (Operator Instructions). Thank you. Our first question comes from the line of Brian Klock with Keefe Bruyette & Woods.
Brian Klock - Keefe Bruyette & Woods: Hey, good morning gentlemen.
José Rafael Fernández: Hi Brian. How are you?
Brian Klock - Keefe Bruyette & Woods: Good, thanks. So first question is you guys have been building up your core capital levels, and I think your guidance and the slide deck 2 as well talks about returning capital. You had the nice 33% bump in your dividend in December of 2013. And as we get closer to indemnification asset amortization running off in the second quarter of ‘15. It seems like you’ll have excess capital to put the work, not only with increasing the dividend again but I guess thinking about what your TCE ratios are, your Tier 1 common ratios are, and you still have a buyback program in place. So, I guess let us know what you’re thinking about as we get the second half of the year and get closer to the higher core earnings numbers with FDIC drag and what’s your thoughts are with dividend and buyback?
José Rafael Fernández: Well, the easy answer to that Brian is all of the above. But I’ll give you a little bit more of color. As you well stated, we have increased our cash dividend and our goal is to review that quarterly dividend once a year and that’s what the Board of Directors has done throughout the last 6 or 7 years. So, we will continue to look at that. We certainly have still available space to do some repurchase and we will also look at that as part of our capital return strategies. And certainly, we will do it. As we see our stock trading below book value, it becomes a greater opportunity for us to deploy capital there. So, we certainly are very cognizant of the capital situation at the bank and at the holding company. We also are very cautious with the economic conditions in Puerto Rico. And we need to have -- at least work or run the bank with somewhat higher levels of capital than traditionally because of the economic environment we are in. But all-in-all, we have all those factors that you mentioned and all those potential capital management strategies forefront for us.
Brian Klock - Keefe Bruyette & Woods: Okay. So, it sounds like the buyback is just another toll you’ve got, just in case, but in the meantime we shouldn’t expect anything, I guess unless there is lack of growth opportunities and more attractiveness in the stock; I guess is that the way we should think about the buyback?
Ganesh Kumar: Yeah, we look at the buyback as one of the capital strategies that we look at. And we will be strategic and very opportunistic on opportunities to buyback the stock.
Brian Klock - Keefe Bruyette & Woods: Okay. And just quick follow up question. And I think investors I’ve talked to like the reduction of exposure to the Puerto Rico government and mostly in the central government, which obviously I know you guys have talked that length about having these, exposures to be more revenue backed and that really as risky as the GO that everyone is concerned about. But maybe you can talk about investment securities, I think there is of that $124 million maturing in the next six months, I think there is what a $99 million trend in there.
José Rafael Fernández: Correct. Yeah. Let me say something here, Brian, if I may.
Brian Klock - Keefe Bruyette & Woods: Sure.
José Rafael Fernández: Just a couple of things. One is I think Puerto Rico situation is doing much better fiscally today than year or so ago. So I think all the measures are need to be made, they are executing on them and we should be cognizant of that. Number two, from an outsider reading, you guys reading all the noise that is coming out of Puerto Rico, if we probably get 30 or 40 news articles a week about Puerto Rico, it probably looks a lot worse than it really is here on the ground, and it’s the reality of life. So, I want to point that out because there is a lot of noise out there regarding Puerto Rico. And to some extent there is quite a bit of pressure as everybody knows. However, you have to be cognizant that everything that is being read out there, some of those things are just very, very speculative. And I just wanted to make that point. Lastly on the question, specific question regarding the investment securities and the 98.5 that comes due in June, yeah that's one anticipation note and we fully expect that to be repaid by June 1st, I think it is. And we are again on the exposures that we have to the common wealth and the agencies, we are very comfortable with credit exposure, we’re very comfortable with underwriting that has been done. And we’re going to be very strategic going forward with the maturities that we have and work with the government to make sure that we manage our risk appropriately.
Brian Klock - Keefe Bruyette & Woods: Okay. And actually I think you made your point about the news headlines and everything; there was some positive news headlines today and even yesterday with the regard to December revenues finalized or above plan and the governor thinks to get a balance budget submitted one year earlier than expected, right?
José Rafael Fernández: Yeah that is correct. And those are the results of all the measures that they implemented during 2013. So from a revenue perspective, things are moving along. I think the next step is the expense side, some things have been learned, more needs to be leaned, and I think everybody is onboard with us as the government. I mean the governor announced a zero deficit for 2015. So, we can accomplish that. I think that’s going to be a very good situation for everyone.
Brian Klock - Keefe Bruyette & Woods: Alright. Well, I will get back in the queue. Thanks for taking my questions guys.
José Rafael Fernández: Thank you, Brian.
Operator: Our next question comes from the Todd Hagerman with Sterne Agee.
Todd Hagerman - Sterne Agee: Good morning everybody.
José Rafael Fernández: Hi Todd, how are you?
Todd Hagerman - Sterne Agee: Hi. Good, thank you. Can I ask -- I was just wondering if you could just expand little further on your comments regarding credit quality and specifically mortgage. I am just wondering if you just clarify and maybe breakdown little bit in terms of the accounting impact on mortgage and how we should think about the acquired portfolio non-covered and the kind of the core portfolio in terms of what were the differences between the two in the quarter. And then also just in terms of some of the deterioration in auto, kind of what were the primary drivers there?
Ganesh Kumar: Okay. Todd, first of all the table six regarding the asset quality metrics on the earnings supplement purely talks about the loan portfolio that is not acquired, meaning non-covered and as well as covered is not included over here. These are legacy portfolio and what was originated after the acquisition. So, these are loans that would have to be sort of valuated in terms of provisions and allowances created on ongoing basis that’s not under other accounting SOP 03 accounting. So having said that, to answer your question about the mortgage, what I was trying to say was we -- the early delinquency number as I see now that is 30 to 89 days. So, it goes in 30 day buckets. On the quarters, when it ends with a 31st day, it really spills over, one month of delinquency numbers are built into that, primarily because of that boundary. So, if you see the quarters ending with 31st, namely the fourth quarter last year, the first quarter and as well as this quarter, there is a bump in the delinquency numbers associated with those quarters. Second point I was trying to make is if you look at the delinquency numbers for the mortgage, fourth quarter year-over-year as a reduction of more than $65 million and the -- $64 million and that includes the effect of the $60 million sale that we did in the third quarter. So, that's what I was trying to say even adjusting for the non-performing sales which is a one-time event, we are lower in terms of our delinquency numbers in the mortgage.
Todd Hagerman - Sterne Agee: Okay. Let me say it a different way. Give me, if you could, the breakdown in terms of delinquency trends between -- in terms of 60 to 89 kind of the later stage delinquencies as opposed to 30 days. And then secondly, with the accounting treatment of those acquired loan pools, if you will, with that adjustment this quarter, in another words, is this kind of like a reasonable level to think about or is we going to continue to see kind of ongoing, kind of more moderate deterioration or is it going to improve? I’m just trying to get a sense of with the accounting metrics are we just going to continue to have a repopulation effect or is this kind of more of the natural phase of portfolio?
Ganesh Kumar: Yeah. With regard to the early delinquency, if you look at -- if I’ll give you a break up which is not included over here, the 30 to 59 days which are really towards the end of the last month of the quarter that is really, that’s a bump in that number, in that period bucket. So that indicates something happened towards the end of the quarter. And that’s why I tried to say that we had implementation of new collection systems going on, processes have changed, users have to get used to it and there is an impact and there is a noise that’s created by the systems implementation towards the end of the quarter. And we have to continue to monitor this thing; of course we will be able to give you better numbers when the next quarter results come in to indicate if there is anything, any credit trends that are revolving. But to me, one month doesn’t make a pattern yet and therefore I am not able to say at this point in time there is a deterioration or not.
Todd Hagerman - Sterne Agee: Okay. And then just any comments on the auto portfolio?
Ganesh Kumar: In terms, I think as you saw in the accretable yield a pick-up this quarter, there were some -- the recasting gave some positive effects on some pulls of the auto loans under purchase accounting, that’s good news. So therefore, we’ve had some excess of cash flows more than what we expected. In terms of the overall performance they are in-line with our last factors what we have experienced so far, so there is nothing that parts up to tell you otherwise.
Todd Hagerman - Sterne Agee: Okay, thanks so much.
Operator: Our next question comes from the line of Emlen Harmon with Jeffries.
Emlen Harmon - Jefferies: Hey, good morning, guys.
Ganesh Kumar: Good morning.
Emlen Harmon - Jefferies: So, maybe to kick it off, talking about the expectation that you guys had just adds earnings in the first half of next year kind of run around the core rate for this quarter. When you talk about a core rate, are you backing out the merger expenses and then all of the accounting facts that you kind of listed this quarter? And I guess within that it will be helpful to understand if your cash flow is coming as you are expecting kind of what the go forward income statement affects are from those?
José Rafael Fernández: Yeah, I will give you my [overall] and then I will pass it to Ganesh for any specific. And then the -- when we make reference to the fourth quarter and kind of run rate going forward into 2014, yes we are talking about a core earnings or core income, cooperating income, which basically excludes all of the items that Ganesh mentioned in his prepared remarks. So, regarding the second question is, yes, I think so far as we have been seeing during 2013, our cash flows are going better and credit performance is going better and what we anticipated and that’s why in 2013 we had some positive effects to our net interest income. Unfortunately it’s very hard to project, it’s very hard to predict. And we are trying to present a picture where what we can manage and what we can predict. And that’s why we are refrained to our operating income as such.
Ganesh Kumar: Yeah. One thing that I want to add Emlen is that's one of the reasons why we kind of in the page, where we’re listing non-recurring items. We basically gave the items that are floor in as, recognized as part of the accretable yield and also the earnings supplement shows the acquired portfolio -- this quarter $48 million were the accretable yields that flew into our income statement. So if you reduce the non-recurring items on the page 9 from the presentation that is exactly what we mean by the run rate.
Emlen Harmon - Jefferies: Okay, got you. And then just on I guess maybe on the merger progress, just in terms of the expense phase that you guys have realized so far. What's been run rated as of the fourth quarter of ‘13 and kind of how do you expect those expenses to leg in over the course of ‘14?
Ganesh Kumar: So basically, I think the run rate at this point in time for the quarter without the merger and restructuring, we presented that in the table 1. And if you look at it, our operating expenses at this point in time -- operating expenses is without the merger and restructuring is what the run rate that we are expecting for the next few quarters. So, having said that, what we are saying is the entire merger and restructuring will be avoided next quarter, it will not be the recurring item. And whatever we think as the savings, some of those savings like technology contracts and facilities contracts were already built into the merger and restructuring expenses. So take the operating expenses of $61 million and it should be around that annualized for the next four quarters.
Emlen Harmon - Jefferies: Got you. And in terms of -- initially you guys had or expecting about $25 million in cost saves from the BBVA deal. How much of that $25 million is in the run rate as of the fourth quarter?
Ganesh Kumar: All right. We are basically, I think we are a little bit ahead in our schedule and that is sort of represented by the merger and restructuring expenses over and above what we initially thought we would do in 2013, primarily because the BBVA had -- BBVA and Oriental put together the merger and restructuring was around $265 million. And then if you remove the $70 million of the current year’s expenses, we are close to 246. So, in essence what we are saying is we are ahead in our cost savings as a result of expedited integration efforts. We would again try to squeeze out $1 million or $2 million each quarter, $1 million a quarter going forward. And, but you have to factor back the cost of annual increase for salary expenses and healthcare cost and all those kind of things. So the $25 million is easily, I think it’s well within our reach to achieve by the middle of the year, but it will be partially offset by the annual increases in the salary and healthcare cost, which is normal.
Emlen Harmon - Jefferies: Got you. Thanks. And then one more if I could. If I look at the commercial loan production, backing out kind of some of the government effects last quarter rate, there was kind of $280 million increase in the government balances last quarter, I backed that out, looks like the commercial loan production was actually up about $70 million bucks quarter-over-quarter. Am I thinking about that the right way? And could you give us a sense of where you feel you're improving production?
José Rafael Fernández: Yeah. I think you're looking at the right way, Emlen. Going into 2014 on the commercial side, I think we're going to be very cautious in terms of how we look at credit and make sure that we might see the opportunity that we have to attract new clients, but we've got to be careful with the economic environment. And so when I look at production, I think looking at it from this fourth quarter number, it looks closer to, on the commercial, it looks closer maybe a little less than that on a quarterly basis going forward. And when I say commercial it includes small business, it includes middle market, it includes also corporate and wholesale.
Emlen Harmon - Jefferies: All right, thanks guys.
José Rafael Fernández: All right.
Operator: (Operator Instructions). Our next question comes from the line of Taylor Brodarick with Guggenheim Securities.
Taylor Brodarick - Guggenheim Securities: Great, thank you. I just had one right now. I guess looking at the branch consolidations and reductions there, any kind of fanatic things behind that? They’re mostly redundancies with BBVA, are they all typically in the San Juan MSA? And I guess going forward what would you look at for future efficiency improvements. Would it be combining production offices more with the deposit gathering facilities or any color would be fantastic?
José Rafael Fernández: Yeah. Most of our branch consolidation which were in total 9 had to do with branches that were in similar locations, and we chose to consolidate in one location. So that’s kind of mostly what drove it. There were some closings outside of the metropolitan area. And if -- given your question in terms of future what areas do we think we need to or we have a potential to add a little bit more in terms of branch distribution is in the metropolitan area or the expand of metropolitan area. Having said that, our branches is our key channel and through those branches we’re moving and kind of pushing our team to make sure that we use them the most efficient way possible. So it’s not only a bank branch, but it also maximizes the opportunity of selling investment products, mortgage products, as well as consumer products. And we at Oriental have a very engrained culture of selling securities and investment products through branches. We need to continue to push that within the larger branch network also now that we have consolidated both systems into one to make sure that we take advantage of the additional cross-sell opportunities to the existing clients that we have. As Ganesh mentioned in his remarks, we added close to 300 and some 1000 new clients. Now there is an opportunity for us to optimize that branch network and work with our team and our management team to make sure that we are expanding relationship with our newly acquired clients and our existing clients also.
Taylor Brodarick - Guggenheim Securities: Great, thank you very much. And Ganesh, I missed this earlier, so apologies. Sounds like the effective tax rate for 4Q looks to be more stable after the 3Q adjustments and one-time items, is that right going forward?
Ganesh Kumar: Correct.
Taylor Brodarick - Guggenheim Securities: Okay, thanks everybody.
José Rafael Fernández: Yeah.
Operator:
José Rafael Fernández: Well, thank you all for being with us this morning. We had a wonderful end of 2013. We look forward for an exciting and very productive 2014. Have a great day. Thank you to all.
Ganesh Kumar: Thank you.
Operator: Thank you. This concludes today's conference call. You may now disconnect.